Operator: Good morning and welcome to Ardmore Shipping’s Fourth Quarter 2014 Earnings Conference Call. Today's call is being recorded and an audio webcast and presentation are available in the Investor Relations section of the Company's Web site, ardmoreshipping.com. We will conduct a question-and-answer session after the opening remarks. Instructions will follow at that time. A replay of the conference call will be accessible anytime during the next two weeks by dialing 719-457-0820 or 888-203-1112 and entering the passcode 1652188. At this time, I would like to turn the call over to Mr. Anthony Gurnee, Chief Executive Officer of Ardmore Shipping.
Anthony Gurnee: Good morning and welcome to Ardmore Shipping’s fourth quarter earnings call. First, let me ask our CFO, Paul Tivnan, to describe the format for the call and discuss forward-looking statements.
Paul Tivnan: Thanks, Tony and welcome everyone. Before we begin our conference call, I would like to direct all participants to our website at ardmoreshipping.com, where you will find a link to this morning's fourth quarter 2014 earnings release and presentation. Tony and I will take about 15 minutes to go through the presentation and then open up the call to questions. Turning to Slide 2, please allow me to remind you that our discussion today contains forward-looking statements. Actual results may differ materially from results projected in the forward-looking statements. Additional information concerning factors that could cause the actual results to differ materially from those in the forward-looking statements is contained in the fourth quarter 2014 earnings release, which is available on our website. And now I will turn the call back over to Tony.
Anthony Gurnee: Thank you, Paul. On the call today, we will highlight our fourth quarter and full year performance and recent market activity, discuss our chartering outlook and our new building program, and provide an update on the product and chemical sectors. Paul will then discuss our financial performance and then we'll recap and open up the call for questions. So turning first to Slide 5, we are reporting a net profit of $1.9 million for the fourth quarter of 2014 and $1.7 million for the full year resulted an improving charter market and the impact of our growing fleet. Ardmore delivered strong charter and performance in the fourth quarter with our spot MRs Product tankers earning 18,500 per day net. And overall, our Eco-design and Eco-modem are turning 16,900 and 15,800 respectively which is up significantly year-on-year. In fact the fourth quarter was respected to strengthen to anyway given the favorable fundamentals in the product tanker sector with the oil price drop which we will discuss later in detail as provided proof to be the icing on the cake driving charter rates to seven year highs. These strong product tanker sport rate is extended so far into the current quarter with Atlantic triangulation in January averaging 22,800 and Pacific triangulation 19,900. The company is set to undergo significant well timed fleet growth in 2015 with 10 deliveries one of which is already delivered in [indiscernible] deployment and boosting revenue days by approximately 70% by the end of the year. In the fourth quarter, Ardmore return capital to shareholders at an annualized rate of 5% to a combination of $0.10 per share quarterly dividend and repurchase of 119,400 shares at an average price of $10.71. So turning to slide 6 there is been a lot of impact of the low oil on crude tanker rates but the impacts is been equally significant to product tankers. The oil price collapse which was caused largely by persistent over supply has resulted in more refine products moving as seen. Oil price volatility driving an increase in long haul arbitrage trade court congesting tying our product tanker tonnage and bunker cost dropping by almost 50% thereby boost in TCE performance further. So it's a consequence MR spot rates in the fourth quarter East and West averaged 49% higher than year ago and in December average in a mid-20,000 per day and that by the way is equivalent of around 65,000 per day on VLCC if it’s scaled on the basis of investment capital. In addition, we believe that lower oil pricing should boost oil demand growth later in 2015 resulting from the positive impact it should have on global growth. Cheap oil replacing another energy sources on the margin and change in consumer behavior for example of lower sales of hybrid cars and more SUVs with similar trends taking place worldwide. And it's worth adding that there are now reports oil traders in Asia who in anticipation to rebound in oil pricing to which short tanks going up in location such as Singapore are now listing to take on product tankers for storage which would logically involve LRs but could also include MRs. To take a full advantage of the anticipated strong market and provide earnings stability, we are deploying ships in the spot market in both the Atlantic and Pacific basin. Continuing on that theme on slide 8, Ardmore's chartering prospects for the first quarter of 2015 are positive given the continued relative market strength. In terms of our spot tons out of mix roughly half of our revenue base should be spot for the first quarter up significant from one year ago and looking further into 2015 as most of our new deliveries will engage in pools are spot commercial arrangement we expected mixable swing even more towards spot. One important note is that the eco-design Q3 number were displaying on the slide as before profit share which could add another $400 per day across the shifts and on top of this we're expecting our new building deliveries to make a strong contribution to our TCE performance in the first quarter. Going forward we will continue with our versatile chartering strategy which enables us to adjust the mix in spot time charter business depending how we see the market development this we believe is a differentiated value maximizing strategy. We're turning now to slide 10 our new building program is on track and we expect to take delivery of six more vessels for mid-year and a total of 10 for the full year. These ships were increasing our fleet revenue days as mentioned by 70% by the end of the year nearby substantially boosting earnings and cash flow capacity. For the 10 new building our MR tankers and now entering to proprietary spot trading arrangement with a leading oil trading firm and 6% our IMO 2 coated products and chemical tankers which have the ability to engaging both markets depending on the relative strength of the time. The Ardmore Cherokee, the first of our 25,000 deadweight tons chemical tanker new buildings delivered in January and entered into a chemical tanker pool where we estimate it would have earn 15,500 through 2014 and given the terms [entering] and we’re anticipating similar or better performance in 2015, which is a good level for a ship of this size. Let’s take a closer look now at the product tanker market on slide 12, first it’s important to highlight the stronger demand growth fundamentals arising from ongoing secular drivers namely refinery capacity relocation, close to the oil fields and further way for industrial centers, which means more refined products moving at sea. Continued growth in U.S. Gulf product exports, augmented now by the relaxation of rules for export of clean condensate. And increase in business complexity from oil trading activity and regulatory tightening, for example sulphur emissions regulations which is boosting demand by creating significant cargo blending activity up and evolving three ships for one cargo instead of one. The unexpected oil price drop in the fourth quarter has added extra layer of demand which is driven rates to seven-year highs and is expected to continue impacting the product tanker market so long as oil pricing remains volatile. And just to clarify that point a bit further, while there are demand growth benefits from low oil prices for all tanker classes, MR has benefit more directly from the volatility itself rather than the specific direction of the price movement as this opens up arbitrage opportunities for oil traders who are our customers. Time charter rates were lagging spot performance but this is a typical phenomenon at the beginning of charter market recoveries and should begin to follow spot rates later in 2015. Spot rates themselves will continue to be volatile but should at far higher levels on average than prior year’s as they are today. Turning now to page 13, the chemical market continues to improve gradually as indicated by the company’s own fleet of chemical tankers where the TCE performances increased about 10% in the fourth quarter as compared to a year ago. The Ardmore chemical fleet, consist of coated IMO 2 combined product and chemical tankers capable of recurring a range of cargos currently roughly equal thirds of refined products, veg oils and bio-fuels and commodity chemicals. Refined product performances improving for these ships with the broader market, while veg oils and bio-fuels and relatively steady. The chemical market has lagged product tankers and charter performance but we believe that two set to improve as ship capacity is being drawn on the margin is to refine product trade. The strengthening of the global economy in 2015 should boost demand, ongoing petrochemical expansion in the Mideast and U.S. Gulf is having an impact on ton miles comparable to refinery shift for product tankers. And the deliveries will be scheduled for 2015 is still relatively light, so supply growth will continue to be muted. Ardmore’s coated IMO 2 type ships should therefore fare very well in the anticipated charter rate environment for 2015 and into mid-2016. And with that I’ll hand the call back to Paul to discuss our financial performance.
Paul Tivnan: Thanks, Tony. Starting with slide 15, we’re pleased to report the strengthening financial performance with a net profit of $1.9 million for the quarter and $1.7 million for the full year. This is our third successful profitable quarter reflecting both our feet expansion and an improved charter market. The company reported adjusted EBITDA of $8.3 million, which represents an increase of $6.5 million from the fourth quarter of ’13. Revenue was $22.3 million, an increase of $12.7 million from the same period last year. Net operating cost for Eco-design vessels were $5,835 and an Eco-mod vessels were on average for both product and chemicals $6,373 per day for the full year. Depreciation and amortization for the fourth quarter was $4.9 million and we expected depreciation and amortization for the first quarter to be approximately $6.3 million. Corporate overhead cost were 1.9 million in the fourth quarter, which continues to be among the lowest of our peers on a per ship basis. Our interest and finance cost were $1.2 million and this is net of capitalized interest related new buildings in the quarter of $1.2 million. We expect capitalized interest cost in the first quarter to be around $1 million. The above results showed a net profit for the fourth quarter of $1.9 million or $0.07 per share. As we can see on slide 15, the charter rate continues to increase. In the quarter, we have five Eco-designs MRs in operation, which earned an average of $16,855 per day for the quarter. Our Eco-mod MRs earned $15,750 per day on average which represents an increase of $1,800 over the same period last year. We have three ships trading in the spot market right now and in line with the stronger market, vessels are earnings on average of approximately $18,800 for voyages in progress. The chemical market continues to improve with the three ships earning $11,400 per day on average, which is an increase of approximately $900 per day from the same period last year. Again, it is important to point out that Ardmore has substantial upside potential and every $1,000 increase in rates across the fully delivered fleet equips 34% per share in EPS. At current MR spot rates, we estimate that our earnings would be around 155 per share annually. We believe this upside potential is on a per share basis the highest of our peers. On slide 17, we have a summary balance sheet and at the end of December, our total debt was $234 million as compared to total capital of $570 million leaving our leverage at 42%. Our cash in hand was $69 million. I would like to highlight Ardmore’s NAV of price to increase in share values with 24 ships and 26 million shares, every $1 million increase in vessel values equates to $0.92 in additional NAV per share for our shareholders. Turning to slide 18, as noted on our last call we’ve committed bank financing and face for all of our new buildings. We drove down 19.5 million for the Ardmore Cherokee prior to year end leaving it at 192 million available for drawdown for the remaining new buildings in 2015. Our leverage currently stands at 41% and while this will increase modestly as vessels deliver, we expect the leverage to remain low. Our weighted average interest rate was 3.77% for the quarter. And with that I would like to turn the call back to Tony for some closing comments.
Anthony Gurnee: Thanks Paul. So in summary then on slide 20, our earnings performance is gaining momentum on the back of strong business fundamentals and well-timed fleet growth. The product tanker market has been at seven-year highs now since October and the chemical market we think will strengthen in 2015 with improving global economy. Meanwhile, we are maintaining our purpose on cost advantage and fuel efficiency and service excellence, which is our core operational strategy and underpins on our strong financial performance. As the management team we’re focused on vessel deliveries which will boost our capacity by 70% by year end and it’s tracking maximum value from the charter market. As we mentioned the few times every $1,000 a day is $0.34 a share. And finally, the company return capital to shareholders at annualized rate of 5% in the fourth quarter it’s a combination of our cash dividend and our share repurchase program. And with that we’re free to open up the call for questions.
Operator: Thank you, sir. [Operator Instructions] We will take our first question from Douglas Mavrinac with Jefferies.
Douglas Mavrinac: Thank you, operator. Good afternoon Tony and Paul. A few follow up questions for you guys, first at it pertains to the current market Tony in your commentary you mentioned how rates at seven year highs and interesting was standpoint here when we start to seeing the beginning of the move last year it’s started in the LR market around last March and then shares down to LR1 in MRs. For 2015, last week we started to see LR2 is popping up 35% presumably you can do its ramping up, so my question is what happen last year should we expect a repeat of what happen I guess as things play out in 2015 with the LR starting to leave and then certainly no the LR1 and MR so kind of why does that work it that way?
A – Anthony Gurnee: Generally speaking, I think was good for LRs, is good for MRs, they do see margin -- slight effective LR2s interacting with LR1s and LR1s with MRs so kind of draws the competition out of the MR space. But also it might just take little bit longer for the same fundamentals with the same market dynamics to get to the MR
Douglas Mavrinac: Do you see cargo splitting anything that’s only in the product space?
A – Anthony Gurnee: Not I think, not at this rate of -- to be honest but it is the signal of greater map that draws all the ships up.
Douglas Mavrinac: So getting to that interaction I mean right now average LR2s are 30,000 a day and MRs are 19, 20-ish if you start to seeing additional upper pressure in LR is where you pass 40, is that what you’re talking in terms potentially pulling up in smaller ships.
A – Anthony Gurnee: I think it will be go to those kinds of levels you can start to seeing hardest play.
Douglas Mavrinac: Got it, okay, helpful. And then to U.S. export, that were prior last year cut only gain and for the preceding four, five years but obviously that gain is much smaller compared to what’s happening in the Middle East right now. But when you think about the prospects of U.S. export maybe slowing with U.S. production, give what’s happening in the Middle East, that would be a good thing or bad thing from demand standpoint if you look at where those FX going and if they don’t get satisfied by the U.S. presumably from the Middle East would slowing U.S. export giving what’s happen in the Middle East good thing or bad thing.
A – Anthony Gurnee: There is a lot of new refinery capacity coming on string right now in the Middle East in the Red sea and the Mid-East gulf and that generally speaking that’s very difficult business for LRs and MRs. We actually thing that there is continued growth in U.S. exports part of this just at the refinery complex and factories just got a tremendous advantage in terms of the -- competitive pricing and that will continue, the other thing is that just a modeling competitive refinery base, so we think that continuing. It’s also important to find out that with the year end in factored [indiscernible] which prior to this was classed as a crude oil and could be exported that you were waiting to find out details on peoples’ plan. That will boost export for clean tankers because most of that will go on refine product tankers.
Douglas Mavrinac: Got it very helpful and then the final question before turning it over. You mention in your commentary as well that a slot rate has obviously done very well. But we're seeing some lag in the time charter market and its normal I guess to for the market we always see spot rates I guess there for a while paying up in the time charter market. My question is have you guys started to see the beginning of any sort of increase in interest on the part of charter as they like what were you doing willing to lift and are go for I mean so if you see an increase in that just yet or there is still to come.
A – Anthony Gurnee: Our views are still to come and we would expect to start seeing that in kind of March or April.
A – Anthony Gurnee: Okay that’s all I have perfect and great job on the quarter.
Operator: And our next question comes from Jon Chappell with Evercore ISI.
Jon Chappell : I wanted talk about the first quarter kind of soft guidance that you gave. You mentioned the 8 thus far we think about kind of lead or lag times as far as charting ships you said those were the current voyages today. How much of your first quarter operating days would say have been booked at those levels that you've disclosed?
A – Anthony Gurnee: We could be getting towards 50% of the quarter.
A – Paul Tivnan: That’s on our guidance we've given the time chartered phase for the first quarter. But it's 53% with 740 days and then all the spot days about 50% for the remainder of volume base.
Jon Chappell : And then another kind of market question. It seems like for better to worse the Atlantic basin is one the most focused on TC2 TC14 is taken a huge step down. But it seems like you can as everything going really well outside of the brief mentioned you made Tony of traders name is under store some products in the Eastern Hemisphere you talk about the difference in the market and I guess you position basically 50-50. But it is important to kind of look at the other side of the world as well.
A – Anthony Gurnee: Well just to balance it out obviously I mean most of the attention is been on the Atlantic basin for a while now. But the familiarity is that most of the growth in export capacity to refine products was happening in Middle East in India. So that’s where we see the fundamentals to be really driving the market. In terms of the Atlantic basin, TC14 is traditionally a backlog and it’s behaving like backlog at the moment. So refinery output since had three down a little bit part of that is skip of turnaround part of it is outage and we think it will come back pretty quickly there is talk about straight which doesn’t appear like it's going to have big impact on refinery operations.
Jon Chappell : Alright two quick one Paul what's the remaining capital spend your budget for 2015?
Paul Tivnan : Sure for the art of dollars for the remainder of '15 about $215 million and we've got cash coming on remainder of those decision but 119 so by 20 million is eased up from cash in the balance sheet.
Jon Chappell : And then so I thought that obviously completely funded for the new build program. Tony what are the opportunities are out there to acquire ships whether ones twos or types of fleets and how do you guys kind of balance that with the capital return you spoke about in the presentation as well?
Anthony Gurnee : We are really just focus on every time with you we had choice to make we just focus on maximizing value. There are range of alternatives for growth and returning capital through the share repurchase and dividend program. So it's really matter of just deciding what the right thing to do at a point in time has given alternative use for that capital. So I just want to, we are growing our revenue base by 70% by the end of the year we're in a very exciting charter market environment and we're really focused on extracting maximum value from it. On top of that we can find ways to our creatively that would be great.
Jon Chappell : And just a follow up one last follow up on that. Obviously there is lot of orders placed kind of late 2013 I guess mostly through 2013 in this market maybe some people who weren’t historical product tanker or MR Player did as a platform in place. Do you see any opportunities their form people may be looking to get out of that investment before they even take deliver this ships?
A – Anthony Gurnee: No I think certainly that’s the market buzz and we think it's and interesting to consider acquisitions. But as I said we've got a lot going on and we're really pleased with growth that we've build into the fleet and if nothing else happen we're always with that.
Operator: We'll take our next question from Omar Nokta with Clarkson Capital Markets.
Omar Nokta : I just wanted to follow up on Jon's question maybe bit more and just ask have you guys considered maybe selling off may be the pre 2005 build ships and we have maybe two or three of those, would you consider or have you consider maybe selling those off and using those proceeds to buy more modernized ships?
A – Anthony Gurnee: Something that we do it’s kind of something we’ll consider I mean in principle, when you get into strong markets it’s a good time to start shutting ships, tanker long term – but we think we’re still go away from basically kind of momentum in the charter market and not just charter but ton charter and therefore [S&P], which would call that make it kind of great timing to do that so it’s probably that probably little early days for that.
Omar Nokta: Okay.
A – Anthony Gurnee: Earning wise the ships are going to generate a lot of cash flow as well.
Omar Nokta: Yes, we haven’t surprised that they have lagged and maybe that’s where the value is at this point in the market.
A – Anthony Gurnee: Yes.
Omar Nokta: And then just want to get some clarity, Tony, you mentioned that Cherokee, how that was delivered and could you mentioned that, that could get about 15,000 on one year target, what exactly we’re referring to there? Sorry, I joined a little late.
A – Anthony Gurnee: That’s okay. So, that should going to entered into a pool which those products and chemicals and based on the pool points that’s been allocated which are very high because it’s an Eco-design ship, one of the first chemical tanker Eco-designs. It would have earned 15,500 last year there about. We think that should continue to earn that level or more this year.
Omar Nokta: Okay, alright, thank you. And then just finally wanted to ask also about the charters in place you have the table that shows the minimum exploration of those charters, if you were to put maximum, would you say that’s roughly what two to three months from there?
A – Anthony Gurnee : Yes, the latest I mean we’ve got a bunch of those in terms of maximum for the ones that are coming up in the first quarter aren’t generous. So, ones that coming up in the first quarter I mean it really does vary in terms of ship positions so maximum from there would probably another 15 to 20 days from [indiscernible].
Operator: Next question comes from Fotis Giannakoulis with Morgan Stanley.
Fotis Giannakoulis: Yes, hi Tony, and congrats for very good quarter. I would like to ask you, how much of this big surge that we saw in product tanker rates at the end of the fourth quarter and early this quarter is driven by the lower oil prices and how much is bio-fuel gains that little bit pumps up the rate and how much by trade and if you can specify which areas and which products they have been moved much stronger this last few months.
A – Anthony Gurnee: Yes, so, our view of this is that, the big driver in the product tankers has been price volatility and it’s not just the volatility on the WTI but it’s really physical regional price volatility which creates trading opportunities so we’re seeing exceptionally long haul of trading activity and that obviously [indiscernible]. Generally speaking there is just more refined products moving at sea as well. The fuel gain is probably worth of few thousand dollars a day so that’s not to be ignored. So it’s really, the other thing is that we’ve been observing that our ships are generally taking longer to live longer to discharge and that’s highs of ship time as well and they get paid while the rating. So it’s really those key things and it’s not so much simply the fact that price of oil is low it’s that there is volatility and the majority of our business is done by oil traders and that’s their bread and butter. In terms of specific cargos or types of refined products, it’s across the board, we moved low sulphur diesel all the way from – to Taiwan, -- and then the ship went across and loaded jet fuel in China and drove it probably back to New York, it’s all just price driven.
Fotis Giannakoulis: Okay, thank you. And I want to go on the asset prices from we’ve seen the raising have moved higher the couple of months, it doesn’t seem that the asset prices has increased at all, is this because of the pressure from other sector like dry bulk, where the attribute – even where asset value saw and your market outlook, where would you focus for potential expansion, will it be – vessels in the water or you would be tended to place some additional new building orders.
A – Anthony Gurnee: Yes, so it’s clear that asset value have really started moving in and I think if you take back to it’s a little bit hind side but if you go to other upturns vessel values typically lacked the charter market recovery. And the reality is that I mean vessel values are still relatively low that means there is a lot of NAV upside in our stock as well but what it means is that there are a lot of sellers economics, so it’s still pretty thin, so there is not a lot of activity and the sellers are selling for a specific reason as opposed to [indiscernible] at that level. I mean we are in that category with some of our older ships. So we would expect as we get further into strong market environment you will see time charters follow and vessel values as well. We would like to do obviously we will prefer to have ships that are in water or ones that are delivering imminently. I want to say never-say-never but it’s unlikely that we view ordering fresh new buildings anytime soon.
Operator: [Operator Instruction] Next we move to Magnus Fyhr GMP Securities. Your line is open Mr. Fyhr. Please go ahead. [Operator Instructions] There are no further questions in queue I’d like to turn the conference back over to management for closing remarks.
Anthony Gurnee: Thank you all for joining us on the call. Obviously we’re pleased with progress of the company and looking forward to continued improvement. Thank you.
Operator: Ladies and gentlemen that does conclude today’s conference. We do thank you for your participation you may now disconnect. Have a great rest of your day.